Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Loews First Quarter 2012 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Mary Skafidas, Vice President of Investor Relations. You may begin your conference.
Mary Skafidas: Thank you, Paula, and good morning, everyone. I'd like to welcome you to Loews Corporation's First Quarter 2012 Earnings Conference Call. A copy of our earnings release may be found on our website, loews.com. In the call this morning, we have our Chief Executive Officer, Jim Tisch; and our Chief Financial Officer, Peter Keegan. Following prepared remarks this morning, we will have a question-and-answer session. Before we begin, however, I will remind you that this conference call might include statements that are forward-looking in nature. Actual results received by the company may differ materially from those projections made in any forward-looking statements. Forward-looking statements reflect circumstances at the time they were made, and the company expressly disclaims any obligation to update or revise any forward-looking statements. This disclaimer is only a brief summary of the corporation's statutory forward-looking statements disclaimers, which is included in the company's filings with the SEC. During the call today, we might also discuss non-GAAP financial measures. Please refer to our security filings for reconciliation to the most comparable GAAP measures. Now I will turn the call over to Loews' Chief Executive Officer, Jim Tisch.
James S. Tisch: Thank you, Mary. Good morning, and thank you all for joining us today to discuss Loews' first quarter results. Overall, our first quarter financial results were solid. As you know by now, we reported earnings per share of $0.92 for the quarter, which matched the $0.92 per share that Loews earned in the first quarter of 2011. Our book value per share at quarter end was $48.96 a share, a 3.4% increase over our book value per share at year end. Underlying these financial results are the actions being taken by each of our subsidiaries to set value-creating strategies and to achieve operational excellence. Let's take a closer look at each of our subsidiaries beginning with CNA. Under Tom Motamed, CNA continues to improve its core P&C operations, which included specialty insurance and commercial insurance businesses. The CNA team is executing strategies to achieve the dual goals of growth and underwriting profitability. Adjusting for the sale of its 50% stake in First Insurance Company of Hawaii during the fourth quarter of 2011, CNA achieved growth in net premiums written in its P&C operations of 5%. This strong growth came from 3 main factors: strong retention of existing business; healthy rate increases on retained business; and attractive new business in targeted areas. By way of example, during the first quarter, CNA specialty and CNA commercial increased rates by 3% and 5%, respectively, with certain sub-lines of business showing much stronger rate achievement. Additionally, the ratio of new to lost business is 1.4:1. What this means is that CNA's underwriting and marketing efforts are gaining traction. CNA's 68.8% first quarter loss ratio before the impact of catastrophes in prior year development was essentially in line with the prior-year quarter. The company's objective is to reduce its loss ratio materially from here. Rate increases, combined with improved underwriting discipline, are the keys to achieving this objective. Finally, CNA took a major step in March when it reached agreement to acquire Hardy Underwriting for $227 million. Hardy is a specialized Lloyd underwriter with a respected market reputation and a long history of disciplined underwriting. The proposed acquisition will provide CNA with a key platform for international growth. Hardy shareholders approved this transaction last Thursday, and it's expected to close by the end of the second quarter. Turning to Diamond Offshore in the offshore drilling market. Diamond had a good first quarter, despite net income being down 26% year-over-year. Diamond's quarterly earnings can vary meaningfully, as a result of such factors as survey downtime, rigs coming off contract and the cost associated with moving rigs from one locale to another. As we've discussed previously, Diamond continues its program of fleet renewal and has 3 ultra-deepwater drillships and one moored semisubmersible rig under construction. Two of the drillships are already contracted to begin working for Anadarko Petroleum at attractive day rates. The other 2 units are currently being marketed and should be able to benefit from the prevailing robust day rate environment. These 4 units are in addition to the 2 ultra-deepwater semis that Diamond purchased out of bankruptcy in early '09 and the 4 semis that were upgraded to ultra-deepwater status since '02. We're encouraged about Diamond's market position and the future of the offshore drilling business. Turning to Boardwalk Pipeline. During this past quarter, Boardwalk purchased from Loews for $285 million the 80% equity interest in Boardwalk HP Storage that Loews had acquired to support Boardwalk's purchase of those storage assets in December. As we previously said, our intention was always to drop down our 80% stake when it made financial sense for Boardwalk to purchase it. This transaction worked just as planned and ultimately benefited both Boardwalk and Loews shareholders. Boardwalk continues to pursue projects like Boardwalk HP Storage that leverage Boardwalk's core assets, diversify its services and geographic footprint and generate growth. HP Storage is a great example of that strategy in action. Another example is the Eagle Ford expansion project. Boardwalk announced in February that it had executed a long-term fee-based gathering and processing agreement with Statoil and Talisman for approximately half of the processing plants capacity. Boardwalk's construction of the gathering lines and processing plants are continuing on schedule. We don't typically spend much time on these calls discussing Loews Hotels, but hopefully, that will change in the quarters and the years ahead. Paul Whetsell, who joined Loews Hotels as President and CEO in January, has hit the ground running. Paul and the Loews Hotels team are sharpening their focus on growing in key urban and resort markets while, at the same time, improving the performance and profitability of our existing properties. Renovations are either underway or imminent at several of our current hotels, and growth opportunities are being continually reviewed. As with all of our subsidiaries, our goal at Loews Hotels is to create long-term value for all Loews' shareholders. Finally, let me turn to HighMount E&P. Quite simply, low natural gas prices make life difficult for HighMount, as the company is predominantly a producer of natural gas. Last Friday, the Henry Hub spot price for natural gas settled at $2.06 per Mcf, the equivalent of oil selling for less than $12.50 a barrel. The good news is that HighMount is not standing still. Instead, it is responding to this unprecedented environment by taking a number of steps, including materially scaling back dry gas development activity in the Permian Basin, focusing development in the Permian Basin on gas-rich wells with high liquid yield and oil potential, specifically in the Wolfcamp strata, and also acquiring and developing a core position in the Mississippian line that we believe will be profitable -- a profitable oil development opportunity for HighMount. HighMount is in the early stages of scaling up its efforts to produce more oil and liquids, so current production is still dominated by dry gas, but we’re encouraged by management's efforts to pursue projects that have the prospect of generating higher returns in the current environment. HighMount recorded a non-cash ceiling test impairment charge of $28 million after taxes in the first quarter related to its carrying value of natural gas and oil properties. This non-cash accounting charge was a result of declines in natural gas prices. If prices remain unchanged through 2012 and holding all other assumptions constant, HighMount will incur non-cash after-tax ceiling test impairments that could range from approximately $400 million to $450 million for the full year of 2012, inclusive of the first quarter impairment. As you know, ceiling test impairment charges are mandated by GAAP, not because gas is no longer in the ground, but simply because the accounting rules require us to value all of our reserves at current prices. Before I turn the call over to Pete, I want to take a few moments to comment on natural gas in the face of today's historically low prices. When putting today's natural gas price environment into context, I'd like to remind myself of what I call the second rule of economics, which is what has to happen, happens. Currently, gas prices are unsustainably low due to the combination of an extraordinarily warm winter and the over production of shale gas. It is simply not economically viable today to drill a well for dry gas at a $2 per Mcf price. Like it or not, with natural gas prices this low, gas production will slow down and demand will increase. Eventually, we will arrive at an equilibrium price of natural gas, which I estimate to be at about $4.50 per Mcf, which is the BTU equivalent of $27 per barrel of oil, still a veritable bargain. At that $4.50 price, the United States can and will dramatically increase its production of natural gas. And at that price, there will still be an enormous incentive for consumption of natural gas to increase significantly. In fact, this is already happening. Diesel fuel consumers are currently making the capital investments necessary to switch to natural gas, often with a 2-year payback on their investments. Not only will truckers and railroads convert to natural gas, but HighMount too is seriously analyzing the option of converting its drilling operation in the oil patch to natural gas from diesel. Due to improvements in frac-ing technology, which have unlocked enormous amounts of gas shale hydrocarbon, the United States has a virtually unlimited supply of natural gas. This new abundant source of energy can, and will, in the next decade transform our economy. With supply assured and prices low, natural gas consumption will certainly continue to increase. Power generation, transportation, industrial production and L&G exports from the U.S. should all combine to material enhance -- materially enhance gas demand. So while the U.S. may be in for a few more years of unnaturally low gas prices, I'm of the belief that over the medium to long term, the most fundamental precept of economics, which is that relative prices drive demand, will result in higher natural gas prices and a more favorable pricing environment for HighMount. Now back to the business at hand, let me turn the call over to Pete for more details on the first quarter.
Peter W. Keegan: Thanks, Jim, and good morning, everyone. Loews Corporation today reported net income of $367 million or $0.92 per share for the first quarter of 2012 as compared to $379 million or $0.92 per share in the first quarter of 2011. The slight decrease in the first quarter was due to lower earnings at HighMount and Diamond Offshore. These decreases were offset partially by higher earnings at CNA and increased investment income at the holding company. CNA's contribution to Loews' net income for the first quarter was $226 million as compared to $199 million in 2011. The increase was due to lower catastrophe losses in increased investment income, especially in limited partnership results. Diamond Offshore's contribution to net income for the first quarter 2012 was $87 million compared to $117 million in the prior-year quarter. Results for the first quarter were impacted by lower utilization, including planned downtime, the impact of lower day rates from contract rollovers on 5 rigs and higher rig downtime for mobilization, prepping and stacking. Additionally, there were higher contract drilling expenses reflecting the higher costs of operating rigs internationally rather than domestically. Boardwalk Pipeline's contribution to net income for the first quarter increased to $35 million from $33 million in the prior-year quarter. The increase in net income was partially the result of the acquisition of HP Storage and lower interest expense, which was modestly offset by the continuing decline in natural gas prices and lower throughput primarily from mild winter weather. As Jim mentioned, HighMount recorded a net loss of $22 million for the first quarter of 2012 compared to net income of $19 million in the first quarter 2011. The lower results were due to a non-cash cost center ceiling test impairment charge of $28 million after taxes related to the carrying value of its natural gas and oil properties, as well as decreased sales volumes stemming from a reduction in drilling activity and declines in natural gas prices. HighMount's production volumes and realized prices in the first quarter are as follows: Natural gas production was 10.3 billion cubic feet at an average realized price of $4.22 per 1,000 cubic feet; natural gas liquids production was 633,000 barrels at an average realized price of $39.79 per barrel; and oil production was 81,000 barrels at an average price of $95 per barrel. HighMount has hedges in place as of March 31, 2012, that cover approximately 51% of projected equivalent production. Natural gas hedges totaled 22.9 billion cubic feet at $5.30 per MMBTU. Natural gas liquid hedges total 1,848,000 [ph] barrels at $37.33 per barrel, and crude oil hedges total 198,000 barrels at $102.59 per barrel. At Loews Hotels, net income increased $2 million for the first quarter of 2012, primarily due to equity earnings in joint venture properties as compared to the 2011 period. Revenues per available room increased $3.24 to $155.31 for the first quarter of 2012 as compared to the 2011 period. The increase in revenue per available room reflects improving occupancy and average room rates. Holding company cash investments as of March 31, 2012, totaled $3.7 billion as compared to $3.3 billion at December 31, 2011. We received $170 million in interest and dividends from our subsidiaries and paid $25 million in cash dividends to our shareholders during the first quarter of 2012. Additionally, we received $285 million from Boardwalk Pipeline from the sale of our 80% interest in HP Storage. We also bought back 2,500 shares of Loews common stock for $96,000. I'll now turn the call back over to the Mary.
Mary Skafidas: Thank you, Pete, and thank you, Jim. Paula, we're ready for our Q&A session of the call. Could you please give participants instructions for asking questions?
Operator: [Operator Instructions] Your first question comes from Bob Glasspiegel of Langen McAlenney.
Robert Glasspiegel - Langen McAlenney: Is your carrying value for HighMount $2 billion now after the write-down?
James S. Tisch: Pete's looking that up.
Robert Glasspiegel - Langen McAlenney: Okay. Second is booking [ph] question, the -- how do we get from what Boardwalk reports to what you report? The $285 million, which I guess was assumed that they had it for all 3 months on their books, was there any sort of implied interest that goes to Loews? Or is this just that it never happened for the quarter? I'm just wondering how that sidecar earnings went through the numbers.
Peter W. Keegan: We did not pick up any interest from that expense. We just picked up earnings during the period in which we held it.
Robert Glasspiegel - Langen McAlenney: But based on their books, they owned it for the whole quarter, I think they said.
Peter W. Keegan: Right, they used purchase accounting, which pushed it back to January 1. And obviously, whatever duplication there is, is illuminated in consolidation.
Robert Glasspiegel - Langen McAlenney: So how do we get from what they -- just roughly, how do we get from what the earnings they reported...
Peter W. Keegan: You're talking about a very minor adjustment, Bob. Just -- I mean, just take their numbers. It's not a big deal.
Robert Glasspiegel - Langen McAlenney: Okay. When the hedges run out for HighMount, is it sort of roughly a breakeven operation to you on a reported basis? Or what's the rough earnings power?
James S. Tisch: I'm not exactly sure. I’ll have to get back to you on that.
Robert Glasspiegel - Langen McAlenney: I guess the question is does it make money or lose money is the question.
James S. Tisch: Let me put it to you this way. It does not make sense for us to drill for natural gas at $2 an Mcf. And in fact, we are not drilling in the Permian Basin for dry gas, nor are we drilling anywhere for dry gas. The only drilling that is going on now is looking for wet gas and also oil.
Robert Glasspiegel - Langen McAlenney: Got you on that. I’m just -- for modeling purposes, I just want to know how we think about this unit looking out to next year.
Peter W. Keegan: To answer your question, at the end of the first quarter, HighMount's total assets were $2.8 billion.
Robert Glasspiegel - Langen McAlenney: I was actually looking for carrying value, which I think is around $2 billion.
Peter W. Keegan: Well, our equity is $2 billion. The equity is $2 billion.
Operator: Your next question comes from David Adelman of Morgan Stanley.
David J. Adelman - Morgan Stanley, Research Division: Jim, are you -- will you make any comment about the pacing of share repurchases looking backwards, over, say, the last 6 months? They've been pretty modest.
James S. Tisch: I'm not -- as you know, I'm not going to comment on that.
David J. Adelman - Morgan Stanley, Research Division: Okay. And then secondly, at HighMount, will these non-cash impairments be reversed if natural gas prices were substantially higher?
James S. Tisch: No. But what will happen is the amortization that we will have going forward on gas that's produced will be lower. So in essence, it will come back invisibly into earnings over time as the gas is produced.
Operator: Your next question comes from Andy Baker of Barclays.
Andrew Baker: Couple of questions, Jim. You were talking about the increase in demand and decrease in supply of natural gas hitting equilibrium. Is that a 2013 event, do you think? Is that earlier, later? How should we think about when that sort of -- should sort of kick in?
James S. Tisch: It's a process that will occur over a number of years. And it's a process, first of all, because in terms of demand for natural gas, it will take time for people to make the capital equipment changes that they need to make in order to be able to consume natural gas in trucks and trains and even in the oil patch. And likewise, for supply of natural gas, my guess is that there is still some small amount of drilling that's going on for dry gas. There are a lot of reasons for that, such as people trying to hold property by production and the like. But over time, if gas prices stay down here, my guess is that a lot of that gas -- a lot of that drilling will stop. We've seen, for example, over the past few weeks a number of producers in the Haynesville say that they are going -- they're laying down their rigs, and they're not going to start to drill for dry gas there again until prices get to somewhere between $4 and $4.50 per Mcf. The Haynesville, going back a year or 2, was one of the most prolific and the most profitable areas to produce natural gas. So we are seeing, in terms of producer plans to drill for dry gas, that they are no longer drilling or they're planning not to drill, and they're going to wait a good long time until prices get back to reasonable levels so they can earn a rate of return on their investment. Now that's different in drilling for wet gas. With wet gas, not only do you get natural gas, dry natural gas, but you also get natural gas liquids. And natural gas liquids, to a large extent, are priced off of oil. So oftentimes, people can drill for wet gas, which can represent 30% or 40% of the BTUs produced, but since the wet gas, propane -- since the wet gas constituents, the liquids, propane, butane, isobutane, natural gasoline and a few others, since those are priced off of oil, then in essence, the producer doesn't really care so much about the price of natural gas because the price of the liquids so dramatically outweighs the value of the natural gas that's being produced.
Andrew Baker: So then given your sort of long-term view in general and your tremendous pool of capital, does it make sense for you to go out there and take dry gas reserves off peoples’ hands with a 5-year time horizon from those people who may only have a 1-year time horizon?
James S. Tisch: We’re always looking, but the problem is that they are not stupid in the market. If you look at the forward price for natural gas in the futures market, that anticipates that -- it anticipates that the recovery is going to come back to natural gas prices over the next 2 or 3 years. So my prediction of $4.50 natural gas prices is not substantially different from the futures market. And the people that are actually selling properties today are able to sell on the basis of the forward price for natural gas, not the spot prices. So to date, we haven't found any veritable bargains.
Andrew Baker: Even though the forward has been proven incorrect so far?
James S. Tisch: That's right. This year is going to be a little different though, I think, because, come the end of October, or even before the end of October, the storage facilities in the United States may be full. And so production will have to decline to meet that end of storage season, and prices will have to decline. But after that, it's unclear what will happen to prices. It's possible that production will have -- goes down enough that prices could start to accelerate meaningfully.
Andrew Baker: And one last question. Given the S&P is back to 1,400 and the interest rates are still low, can you give us your thoughts on how you think about investing the $3.7 billion of corporate cash?
James S. Tisch: Yes, we really haven't changed too much. We have like $500 million or $600 million of equities and a slightly greater amount of limited partnership investment, and then beyond that, we’re fixed income and treasury bills.
Operator: Your next question comes from Sam Yake of BGB Securities.
Sam Yake - BGB Securities, Inc., Research Division: I was wondering on -- you made some comments about your hotels segment, which is kind of small, and you haven't talked much about it in recent years. I'm just wondering, what are your thoughts on potentially creating like a REIT structure, kind of like what you did with Boardwalk and then creating a vehicle for the hotel business?
James S. Tisch: Right now, we don't have any plans for that. Right now, we are interested in growing our hotel business in what we would call an asset-like manner. And we understand that to do that may require bridge financing from Loews similar to the bridge financing that we've provided to Boardwalk for their acquisition earlier this year. But we are looking at a number of different opportunities, and we're hopeful that over the coming years, that our hotel business can grow.
Sam Yake - BGB Securities, Inc., Research Division: Okay. And then you mentioned you have $3.7 billion of holding company cash. What's kind of like the minimum amount you'd want to have?
James S. Tisch: We have -- well, first, we have $3.7 billion of holding company cash and investments. And historically, that cash balance has not gone below $1.5 billion or $2 billion.
Operator: [Operator Instructions] Your next question comes from Michael Millman of Millman Research Associates.
Michael Millman - Millman Research Associates: On the hotel business, are you talking about or looking into doing management and/or franchising out the brand?
James S. Tisch: We are not looking to franchise the brand. We have historically done hotel management. We have a number of hotels under management, and we're looking to continue doing that, as well as take equity investments in hotels.
Michael Millman - Millman Research Associates: Okay. And regarding gas, what's the breakeven for drilling for shale-related gas?
James S. Tisch: You mean dry gas?
Michael Millman - Millman Research Associates: For dry gas. Is that...
James S. Tisch: Well, the -- I mentioned, for example, the Haynesville that producers are saying that they're not going to start drilling again until they get to $4 to $4.50 natural gas prices. That's just one particular area. But it's -- some shales are a bit higher, some shales are a bit lower, but that's approximately where a producer can earn a reasonable rate of return on his investment. Now a lot will be driven by the cost of drilling services and tracking services, and that can be move dramatically over time, so when I say $4 to $4.50, we're really talking about a moving target.
Michael Millman - Millman Research Associates: That's what I was trying to get to a little bit more. And regarding the share repurchase, can you mention whether you had any blackout periods during the last couple of quarters?
James S. Tisch: No. No, I'm not going to mention whether we had any blackout periods.
Operator: At this time, there are no further questions. I would now like to turn the floor back over to Mary Skafidas for any closing remarks.
Mary Skafidas: Great. Thank you, Paula, and thank you all for your continued interest. A replay will be available on our website, loews.com, in approximately 2 hours. That concludes the call for today.
Operator: Thank you for your participation in today's call. You may now disconnect.